Carolina Londono: Good morning. My name is Carolina Londoño. I welcome you to our first quarter results release. On the call today are Juan Esteban Calle, our CEO; Carlos Yusty, our CFO, who is temporarily responsible for the Economia Region; Maria Isabel Echeverri, the VP of Legal Affairs; Bill Wagner, the VP of the U.S. Division; and Camilo Restrepo, the VP of the Caribbean Central America Division. Please note that certain forward-looking statements and information during the call or in the reports and presentation uploaded in our web page are related to Cementos Argos S.A. and its subsidiaries, which are based on the knowledge of current facts, expectations, circumstances and assumptions of future events. Various factors may cause Argos future results, performance or accomplishments to differ from those expressed herein. The forward-looking statements are made to date. And Argos does not assume any obligation to update stated statements in the future as a result of new information, future events or other factors. Today, after the initial remarks, there will be a Q&A session. [Operator Instructions]. We will record this Q&A session and upload it in our web page. It is now my pleasure to turn the call over to Mr. Calle.
Juan Esteban Calle: Thank you, Carolina, and good morning, everyone. I'm glad to announce that our first quarter results are a consequence of the drive, passion and commitment of our more than 7,200 employees, who successfully executed the implementation of BEST and RESET during the past years to make our operation leaner, more agile and more competitive to adjust the company to a challenging and changing environment we faced. Now with more constructive fundamentals and rising demand in most markets, we were able to capitalize the effort and learnings from past periods. On the health and safety, I mentioned of RESET, we have been able to continue operating under safe conditions in all of our markets, reducing significantly with risk associated with the pandemic in our operations. Health and safety will remain our main priority going forward. Even though vaccination is making progress in some of our markets, we will not let our guard down in order to preserve the life and well-being of our employees, families and stakeholders. During the quarter, we were able to maintain a cash position similar to December 2020, even after reducing debt and paying dividends. For the foreseeable future, we will sustain a similar cash level as a risk management mechanism due to the still uncertain COVID and socioeconomic scenarios, especially in Colombia and the Caribbean and Central America. In particular, I would like to comment on the recent social distance content in Colombia. We are mindful of the social and economic challenges the country is facing after more than 4 million people fell down the poverty line as a consequence of the economic impact of the pandemic. We consider ourselves part of the solution. And we'll continue working to build a better country with our optimism intact, trusting that with dialogue and empathy, Colombia will find a common ground to untap its unparalleled opportunities, leading to our Argos future. In these challenging times, our priority is to protect the well-being of our employees and play an active role on the reactivation of the country by growing our business and creating social value. Also, I would like to mention that our assets are safe, and that in April, we were able to maintain a normal level of operations. Finally, I want to highlight that in line with our commitment with sustainability and climate change, we recently updated our climate change strategy. By 2030, our goal is to reduce net emissions to 523 kilograms of CO2 per ton of Cementos material and obtain revenues of more than $800 million from our green portfolio. Additionally, we are 1 of the 40 cement and concrete companies that joined the 2050 Climate Ambition Initiative, reflecting the commitment of the industry to reduce the CO2 footprint, with an aspiration to deliver carbon-neutral concrete by 2050. Moving on to our consolidated results. Cement dispatches reached 4.1 million tons during the quarter, increasing 19.3% year-over-year, impacted by solid demand conditions across all markets and a lower comparison base in Colombia and CCA. Meanwhile, remix volumes reached 2 million cubic meters, decreasing 4.4% on a yearly basis, affected by work conditions in the U.S., a shortage of cement from the local producers in Dallas, and a slower recovery of the formal construction in Colombia and the Caribbean and Central America. In consequence, revenues increased 6.3% year-over-year and EBITDA reached COP 445 billion, growing 30% compared to the same period of 2020. EBITDA margin closed at 19.2% and expanded 350 basis points. Now to start with our results in each region, I would like to invite Bill to provide more context about the performance of the U.S. region and our view for the market.
Bill Wagner: Thank you, Juan, and good morning, everyone. During the quarter, revenues remained stable, while cost and expenses decreased on a yearly basis by 5.4% and 4.9%, respectively. EBITDA reached $50 million, which represents a 31.2% increase year-over-year compared to 2020 and was 23% higher than 2019 on a like-for-like basis. EBITDA margin expanded 346 basis points, reaching 14.4%. This is a result of our objective to increase profitability by focusing on integrated assets and rebalancing our portfolio mix towards the residential and infrastructure segments that continue to outperform the commercial segment. Cement volumes grew 3.1% during the quarter on a yearly basis, as projects such as distribution centers and warehouses continued to drive demand. Ready-mix dispatches decreased 6.9%, impacted by a winter storm in Texas, where we had to shut down operations in Dallas for almost 2 weeks and in Houston for 1 week. Compared to 2020, the Carolinas were also affected by more rainy days in January. Cement prices remained stable during the quarter when compared to the same period of last year, while ready-mix prices were 1.8% higher than the first quarter of 2020. The strong dynamic in the residential segment continues, as evidenced in leading indicators such as the building permits that posted a 24% increase during the quarter, and in housing starts that grew 8.6%, posting the highest monthly figure since June 2006. Meanwhile, public construction spending posted a slight decrease of 1.6% on the first 3 months of the year. Regarding the commercial segment, the ABI, which is an indicator of the dynamic of the nonresidential construction in the next 9 to 12 months, and is considered to be stable at 50 points, returned to positive territory and reached in March a level not seen since December 2016. In the same line, the Dodge Momentum Index posted a 4.8% increase in March on a yearly basis, driven by institutional projects such as hospitals and labs. In the past days, the White House published a proposal named American Jobs Plan, which indicates a $2 trillion investment over the next 8 years. An initial reading suggests that close to 40% of the total spending will have high impact on cement consumption. This plan is expected to increase demand in the country, but this additional volume will be evidenced 12 to 18 months after its approval. We will monitor supply conditions in the industry, given that the actual capacity utilization in the country is around 90% and the import capacity is close to 30%. We are confident that Argos, with its unique footprint of cement and ready-mix plants and inland and maritime terminals, together with a superior value proposition, is prepared to take advantage of the opportunities derived from this plan. It's worth mentioning that the import capacity of our maritime terminals in the U.S. is close to 5 million tons. We're going to continue to focus on our strategy to increase profitability by balancing our portfolio mix and asset base. And we'll monitor the external risks associated with the building materials sector to be prepared to face the challenges of a changing market environment.
Juan Esteban Calle: Thank you, Bill. As you mentioned, our pre-release footprint and the efforts and efficiencies we have made in the past couple of years will be fundamental for us to take advantage of a dynamic market going forward. Going to Colombia, the industry maintained a strong momentum in cement dispatches, especially in the retail segment that continues to drive demand in the country. Carlos will now provide additional color on this region.
Carlos Yusty: Thank you, Juan, and good morning. During the quarter, we were able to record market share throughout the country by strengthening our presence in the retail segment and maintaining our strong position in the formal construction segment, which continues to recover. During the first quarter of 2021, the cement industry in Colombia continued showing signs of full recovery. As a result, our cement volumes grew 19.4% versus the same period of 2020, benefited by a weak comparison base. Compared to the first quarter of 2019, dispatches were 2.8%, higher reaffirming the strong momentum of the Colombian market in the period. In the ready-mix business, volumes grew 3.3% during the quarter, but are still 16% below 2019 levels, reflecting a slower pace of recovery in formal construction. Higher volumes, stable prices and lower maintenance costs led to an EBITDA increase of 19% year-over-year in the first quarter of 2021. Compared to the same period of 2019, EBITDA grew 37% on a like-to-like basis and EBITDA margin expanded 73 basis points, reaching 24%. In the first 3 months of 2021, the Colombian market continued the positive dynamic evidence since September 2020. in terms of volume, as the retail segment continued leading the market recovery, driven by the strong self-construction trend. Meanwhile, formal construction continued its recovery, but as a result of an increase in housing starts and stability on the execution of infrastructure projects. As part of our strategy, to expand our portfolio and continue positioning the company as a strategic ally for the execution of projects with sustainability characteristics, we launched Green Solutions, a range of products and solutions, including cement and concrete, with lower carbon emissions, products that favor circular economy, and solutions such as [indiscernible], which offers modular system for buildings and infrastructure and be afforded a comprehensive proposal for building cost-efficient regarding roads. Our green cement produced in, which uses the claim technology continues to deliver promising results and the utilization of the plan to ramp-up, and customers' acceptance improves. We firmly believe that this type of projects are fundamental for the future of the industry in its path to reach the net 0 concrete goal in 2050. For the rest of 2021, we remain cautious due to the uncertainty caused by the pandemic and the actual social challenges the country is facing. Nevertheless, we reinforce our commitment to contribute from our role in society to build a better country. We're especially proud of having kept all of our 3,733 good-paying jobs in Colombia during these difficult times and to have implemented strategies to accelerate payments of invoices to more than 1,700 small and medium enterprises, which are part of our supply chains in the country.
Juan Esteban Calle: Thank you, Carlos. I am sure that the firm commitment of our team will lead us to achieve our goals for the rest of the year. Moving on to the Caribbean and Central America, I would like to highlight the solid market environment across our footprint. Camilo will provide additional information on region.
Camilo Restrepo: Thank you, Juan, and good morning, everyone. Cement dispatches increased 21.4% year-over-year, with a strong performance in all of the countries, including the Antilles, French Guiana and export markets, but especially in Honduras and Puerto Rico. Compared to 2019, volumes grew 16.4%, which confirms the positive dynamic of the region. On the other hand, ready-mix volumes decreased 13.7% on a yearly basis as a result of a slower pace of recovery of the industrial segment, especially in Panama. We are positive on the recovery of the industrial segment in the midterm as we expect that local governments will contribute to economic recovery through infrastructure development. The weighted average cement price in the CCA region decreased 1.3% year-over-year. Our performance in terms of volume led to a revenue growth of 12%, despite lower prices during the quarter and the revaluation of the currency in Haiti. EBITDA increased 36.8%, reaching $41 million, and EBITDA margin expanded 564 basis points. In 2021, we continued to strengthen our value proposition in the region. In Honduras, since 2019, we are offering the first green cements in the country named Eco, which reduce CO2 emissions in around 40% by reducing clinker content and using renewable energy in their production process. Today, this portfolio represents most of our cement sales in the country and has great acceptance among our customers. Also, in Panama and Dominican Republic, our ready-to-use portfolio continues to ramp-up in sales and market coverage. Our view for the Caribbean and Central America region remains cautiously optimistic, as the retail segment continues delivering strong results and formal construction starting to show signs of recovery in some countries. Nevertheless, there are still risks derived from the pandemic. In Panama, private construction, which was one of the market segments that was most affected since the pandemic began, is showing signs of recovery and has resumed activity, improving demand conditions. Additionally, in the second half of the year, project related to the metro are expected to begin, boosting the economy and the construction industry. In Honduras, self-construction continues to drive demand related to the high level of remittances from the U.S. And the government has announced investments to dynamize the construction sector and the economy through residential and infrastructure projects. In the same line, remittances in the Dominican Republic remained strong and posted record levels in March, improving demand of bag cement. Finally, in Puerto Rico, we are having the final stages of the implementation of our new operational model, and we are starting to see the positive results. Also, our outlook is positive as the recovery funds from central government are finally arriving to the country, and a good dynamic is perceivable.
Juan Esteban Calle: Thank you, Camilo. I would like now to make reference to our balance statement. During the first quarter of 2021, we were able to reduce our net debt-to-EBITDA ratio to 4.022 - 4.05x, significantly lower than the 4.54x posted in December 2020. Regarding the advancement of ready-mix assets in Dallas, I'm very pleased to announce today that Argos USA has entered into a definitive agreement to sell 24 concrete plants in Dallas to a certain concrete for around $180 million, plus adjustment. The operation is an important milestone that will allow the company to get closer to the goal of reducing the level of net debt-to-EBITDA ratio to 3.2x by the end of 2021. It is important to note that this transaction is subject to regulatory approval by U.S. trade regulators and that the Hart-Scott-Rodino Act and customary closing condition, and is expected to close in the second quarter of 2021. In terms of our debt profile, we continue to improve the average life of debt by reducing the short-term maturities to 12%. This is the result of the amortization of loans that had shorter-term maturities and the renegotiation of certain credit facilities, which also allow us to benefit from the actual interest rates. Also, I want to highlight that in March, we signed the first sustainability-linked loan in Colombia with BBVA, in which the interest rate may increase or decrease according to the performance of the company in the Dow Jones Sustainability Index. I would like to end the call by emphasizing that the health and safety for our employees remains our top priority and that I am very proud of how the company has faced these challenging times, always performing above expectations. Thank you all for your attention. Carolina, we can proceed with the Q&A section.
A - Carolina Londono: [Operator Instructions]. First question comes from Rodrigo Sanchez from Corredores Davivienda.
Rodrigo Sanchez: Yes. Congrats on the results. I would like to make a few questions about last night announcement on divestment. The first one is, how many ready-mix concrete tons were produced in the last 12 months by these assets? And how much EBITDA was generated as well? I will also like to know what the current book value of this assets? And regarding that last question, could you confirm if the assets held for sale for about COP 72 billion correspond to the assets to be divested? And if that's the case, if this means that any excess of this amount could generate profits on the sale? And my last question is, after last night's announcement, should we expect any updates on the divestment plan for the remainder of the year?
Juan Esteban Calle: To sell 24 ready-mix plants in Dallas to ...
Carlos Yusty: I think that we miss, Juan. Yes. I think that I can - Rodrigo, this is Carlos Yusty. I can take the question. Regarding the first part of your question, really, these 24 plants are operating plants. This is - accounts for approximately a little less than the 20% of the U.S. ready-mix operation. Regarding the book value of the plans, really, I think that we prefer to disclose that part in the second quarter conference call. But obviously, we are making a very good profit with this divestment. I don't know what is the last part or - I don't remember the last part of your question. Rodrigo, can you repeat me, please?
Rodrigo Sanchez: Yes, absolutely, Carlos. I don't know if we can know the amount of EBITDA that these assets generated. And also, if there are any updates on the divestment plan for the remainder of the year?
Carlos Yusty: Okay. Perfect. The EBITDA that we made in this operation in the 2020 was a little about - was approximately $16 million. And regarding the investment platform, the rest of the year, really, we are analyzing if we can have another opportunity of the investment. But so far, this is a very good milestone for the divestment plan of Cementos Argos. And the impact in our leverage ratio is very important, because if we do the numbers with the financial statement that we are releasing today, the impact in the debt ratio is about 20 - 25 basis points. Like we presented now [Technical Difficulty]. We have an echo in the - I don't know, if you comp or mute all the microphone, please. In our presentation, we showed a ratio of point - 4.05x. Really, after the divestment, this ratio, excluding the EBITDA of the dollars for - of the last 12 months and including the $180 million of the divestment, the ratio will be approximately 3.8x. Really, this is a very good impact in the leverage ratio for you.
Carolina Londono: The next question comes from Juliana Aguilar from Bancolombia.
Juliana Vargas: Congrats on the results. I have a question regarding the social arrest we're seeing - we're currently seeing in Colombia. I was wondering how has this affected your operations, especially the plant in Jumbo where the situation is more critical.
Carlos Yusty: I don't know if Juan is here. Juan?
Juan Esteban Calle: Carlos, I don't know if my mic is already working or not?
Carlos Yusty: No. It's working perfect now.
Juan Esteban Calle: Okay. So thank you, Juliana, for the question. I mean the reality is that, until the end of April, we managed to do business in Colombia without major interruptions. So the volumes in April were still very strong, very good. But the reality is that the first days of May, the situation is quite complicated, especially in the southwest part of Colombia. I mean we had to shut down our operation in Jumbo completely. We have to shut down the kiln and the - stop working in our mine. And basically, most of our ready-mix plants, not only in Cali and Baja, but also in most of the southwest of Colombia. On the other hand, I mean the situation in the northern part of Colombia has been close to normal. We have been able to continue operating out of our Cartagena plant, and dispatches are closer to normal. The situation in the central part of Colombia and in the Northwest, there are a lot of blockades in the road. So as a result of that, our volumes have suffered in a significant way. We can say that we are operating at close to 50% of our normal dispatch capacity in cement in Colombia and much lower than that in terms of ready-mix. But we are optimistic that - I mean with empathy and dialogue and common sense, we will be able to overcome this difficult situation, not only for Cementos Argos, but in general, for the whole country.
Carolina Londono: The next question comes from Nikolaj Lippmann from Morgan Stanley.
Nikolaj Lippmann: Sorry, can you hear me?
Carolina Londono: Perfect.
Nikolaj Lippmann: Perfect. Sorry about that. I was muted, of course. So no, I was saying, congratulations on the numbers. So 3 questions, if I may. So in the U.S., you have strong growth. 90% capacity utilization in the market, 30% of import, as Bill mentioned. Can you address a little bit your import infrastructure, and also, where you are thinking of supplying from Cartagena ED versus sort of the Middle East? So that's question number one. Question number two, you addressed the carbon issue. Any further details, priority markets, renewable energy? Any details you could give on how you're thinking about what's next in terms of lowering the carbon footprint would be interesting. And finally, on pricing, can you talk a bit about the outlook for pricing in the key markets for cement in the U.S. and also in Colombia? And sorry about all these questions.
Juan Esteban Calle: I will start with the first one. I mean we are expanding our export capacity out of Cartagena. We are commissioning kiln number three. So we will be able to add close to 360,000 tons of clinker capacity and - with the goal to increasing our exports to the U.S., mainly to Houston, but in the future, hopefully, to the East Coast as well. I would like Bill Wagner to give you a little bit more color of our infrastructure to import cement in the U.S. from our maritime terminals. Bill, please?
Bill Wagner: Well, thanks, Juan. It's a very good question. I mean, as you know, we had a number of important facilities that are running generally around 20%, I think, at the moment. But that includes some imports of slag and white cement and fly ash as well. So we have a lot of upside capability. If the domestic capacity continues to be squeezed because of increased demand, we are bringing in some of Cartagena cement into Houston, and we continue to plan to do that in a more significant way, and maybe it would be good this year to do that as well. So we do want to use some of our facilities better. And we're looking at finishing that strategy of the current situation and looking ahead of what the market may bring. So in general terms, we think we have really good assets there, and we want to continue to take advantage of those.
Nikolaj Lippmann: Bill, may I ask a follow-up question there? We can see the data coming, and you have a kind of a boat coming into Houston every month. Is that basically supplying your own ready-mix business? And you're then thinking about expanding beyond that? Is that a fair way to think about it?
Bill Wagner: We're using that to handle our own internal demand as well as third-party customers so we do that as a third-party customers as well.
Juan Esteban Calle: Okay, Nick. And I will take the second question, about our commitment to lower our carbon footprint. Our goal for 2030 is to lower our emissions to 523 kilograms per ton of cement. And we will focus our efforts, first of all, in increasing our use of alternative fuels. We still have a lot of room for improvement. The second one. And when I think that we are at the forefront of the industries to increase the use of alternative cementitious materials, and that is expanding the use of calcine clays with the experience that we have had so far in Cartagena, we're extremely optimistic about the future of calcine clay use in the industry. And that is why we are so happy with the launch of our green portfolio in Colombia, that we expect to continue expanding to geographies in the near future. And finally, we will continue investing in carbon capture technologies, such as the macroalgaes project, that is so far is giving us very good results out of our Cartagena plant. So those are the areas in which we will prioritize our efforts going forward to lower our carbon footprint.
Nikolaj Lippmann: And anything you can say on pricing at this stage?
Juan Esteban Calle: Yes. Carlos will give you like some outlook about pricing in Colombia, and then Bill about pricing in the U.S., and finally, Camilo, about pricing outlook in our major markets in Central America and the Caribbean.
Carlos Yusty: Nikolaj, in the case of Colombia, really, the prices have been very stable during the first quarter of the year. Now we are seeing a very good dynamic in some specific markets and we are making some movements, mainly in the central zone of Colombia, but not in a general movement, but we - but you can see in the second quarter, some movements in the case of the Colombia.
Juan Esteban Calle: Okay. Bill now, what about in the U.S.?
Bill Wagner: Sure. Yes. Nikolaj, as far as pricing in the U.S., I mean, in a very general way, we set out some increased announcements at the beginning of the year. And they're now taking effect in the spring. We continue to kind of monitor what's happening in the U.S. with respect of demand and cost inflation. And we - as we monitor that, along with the utilization rates, we just keep an eye on what we might have in front of us. And when we do that analysis, we'll make decisions down the road. But as of right now, the first increase was announced in the quarter and then after that, in the second quarter.
Juan Esteban Calle: Okay. Camilo now, outlook in Central America and the Caribbean.
Camilo Restrepo: Thanks, Juan. And Nikolaj, well, we are monitoring very closely dynamics in each of the markets. We have seen, as you've all heard in our call, a strong demand in most of them. And we have already started to do some price increases wherever we see a space for it. And then there are some other markets that are still affected which will hold on the increases. But overall, I think there's a good space to do increase in most markets.
Carolina Londono: The next question comes from Gordon Lee from BTG.
Gordon Lee: Two quick questions. First, on the U.S. I was wondering whether - this is sort of a question that I guess we were asking before the COVID pandemic broke out. But whether you're starting to see any issues related to labor shortages, either for your own ready-mix business or from clients. And if you think that, that might be a constraint going forward that could put a damper a little bit on the profitability of the growth going forward. And then the second question, Juan Esteban, on Colombia. I was wondering - and I know this is hypothetical. But in the case that Colombia will lose investment grade, how would that change your outlook on the market, particularly thinking about the financing of infrastructure projects?
Juan Esteban Calle: Thank you, Gordon. Yes. Labor shortage is always an issue in the U.S., specifically with drivers. I would like Bill to give you a little bit of an update on how is the situation in the U.S. right now. Please, Bill.
Bill Wagner: Yes. Thank you, Gordon. I mean that's a good question. I think right now, there's a bit of unknown, in our opinion. I mean we have success in some markets of hiring drivers and handling the labor shortage, as you mentioned. And in other markets, we had a little bit more difficulty. I think we've had to kind of address some compensation questions because it's gotten pretty competitive in the markets. And in general, we've had some good success there. But with some of the government stimulus package out there right now, I mean it's making it a little bit easy for people not to work. And I think they're beginning to kind of understand the impact of that. And it's my understanding that that's going to subside here in the second quarter, and so that should ease the tension a little bit. But I mean a lot of the restaurant community and businesses like that, there is a significant shortage at the moment. So I think we've been very fortunate to be able to handle it in a pretty professional way. And so far, we're doing pretty well. But if it doesn't change, we could see some impact later. But as of right now, we've got it covered.
Juan Esteban Calle: Okay, Gordon. And regarding your question about losing investment grade in Colombia, yes, for sure, it will be a hard hit for everybody. I mean not only for the financing of infrastructure projects, but in general, it will increase the cost of financing of the companies and it will put a significant headwind on the recovery of the economy. Our expectation is that the government will speed up like a lower down tax reform. And it will try to pass it as fast as it can through Congress in order to try to start balancing a little bit the books and providing the social inspection letter everybody is waiting for. So it is, of course, one of the top risk at the - in our agenda.
Carolina Londono: The next question comes from Froylan Mendez from JPMorgan.
Froylan Mendez: Hello, guys. Can you hear me?
Juan Esteban Calle: Yes.
Froylan Mendez: Thank you. Congrats on the strong results. Two questions, if I may. In the U.S., can you tell us the difference in margins on your Houston ready-mix operations versus what you just saw? That I was calculating around a 10% margin. But can you tell us how higher is the Houston operation margins on the ready-mix side? And secondly, regarding the green cement that you're selling in Colombia, could you also explain the difference that you are getting in margins from this product? And if this is coming from a higher price or rather a lower cost of production. And how much is the potential of volumes of this green cement that you see?
Juan Esteban Calle: I mean we are expecting our ready-mix margins in Houston to continue improving with the integration with our Cartagena cement plant. And in the future, we expect that they will be significantly higher than the ones that we had in Dallas. I cannot give you more information than that. I mean we expect those benefits to show in our results going forward. In terms of the margins of our green portfolio and the prices, it is basically what we consider a superior solution, a superior product, but with very similar prices and margins. Going forward, once we have in full operations and using the full capacity of our calcine clay project in Rio Claro, we expect the cost of those products to be lower than the normal product as well. And our expectation is to continue developing the portfolio and launching those products in some other geographies and in some other plants in Colombia as well.
Carolina Londono: The next question comes from Yassine Touahri from On Field Research.
Yassine Touahri: Yes. Can you hear me?
Carolina Londono: Yes, Yassine.
Yassine Touahri: So again, congratulation for the results. I think I would have two question, maybe a follow-up question on pricing. I understand that a price increase of $8 was announced in the first of January in Florida. Could you tell us how much of this price increase stuck? And then I understand that you've got price increase between $5 and $10 that have been announced in your other markets in - on the 1st of April? Do you have a sense of how much of this is sticking? And then again, on the U.S. pricing, we've seen some of your competitor considering a second price increase in June or in September, given the fact that the market is very tight. Is it something that you could consider? And then my second question is about blended cement in the U.S. what is your medium-term strategy? Do you think that - are you discussing with the administration or the department of transportations to be able to have more blended cement, and maybe at some point, use calcine clay or pozzolan in the U.S. in an environment where the supply of slag and fly ash is declining?
Juan Esteban Calle: Thank you, Yassine. And I would like Bill to start answering your question about prices in Florida and in our markets in the U.S.
Bill Wagner: Yes, Yassine. I mean, in very general terms, we did implement a price increase. And specifically, in Florida, we feel like we had good success. And we also had success in the other announcements that we've made. I can't really comment on the specific amounts. But I will say that, to your second question regarding a second increase, earlier, we had said that, given the current utilization rates and what's happening in the market with demand and cost inflation, I think we're just going to continue to monitor that and see what's going to happen in the second half of the year and just kind of evaluate it at that time. So without speaking specifically about the action because we haven't really determined that yet, I mean that - we're just doing on an ongoing basis, but the Florida increase was implemented as was the other increases in the U.S. on the ready-mix side.
Yassine Touahri: And when you say - is it fair to assume that more than half of the announced price increase stuck?
Bill Wagner: That's hard to say because I know it was earlier in the year. I think, Florida, I think we had good result. Other markets which were later than the first part of the year, we've not seen the total result yet. So we'll see that more in the second quarter.
Juan Esteban Calle: And about your second question, Yassine, yes, blended cement is an alternative that makes all the sense in the U.S. I mean from a sustainability standpoint and taking into account the high level of capacity utilization in the U.S., in our opinion, is going to gain traction going forward. We have been, of course, in our - of our states in conversations with the DOTs and the use of calcine clay in the U.S. is another of our objectives going forward. I mean with the success that we have had so far in Cartagena, the reality is that we think that it will be a good alternative to replace fly ash and it's lagging at some point in time in the U.S. going forward. So it is at the top of our priorities.
Yassine Touahri: And what has been the reaction of Department of Transportation? Are they very conservative? Or are they more open-minded now that there is a change in discussion?
Juan Esteban Calle: Bill, can give you more color. But in our opinion, it takes time, but it is something that will have to be done at some point in time. Bill?
Bill Wagner: No. I think it's really by area. I mean you almost have to look at the impact by area. So I think there's more opportunity in Northeast, or in the Southeast, we still work closely with the regulators. We have some traction. And I think Florida is fine. So or it's been more progressive, we're seeing some increased traction in the Northeast. And Southeast, we still have some work to do.
Carolina Londono: The next question comes from Francisco Suarez from Scotiabank.
Francisco Suarez: Congrats for the superb results in the quarter. A comment on - two questions. One, related with the overall major maintenance works that you may need to do during the year. Can you give a little bit of color if those have already been done, particularly in Central America, for instance, in Honduras? And the second question relates to a follow-up on your - on the liability management. Out of your $180 million on asset sales, how much you will be allocating for paying U.S. dollar-denominated debt and how much for Colombian peso-denominated debt?
Juan Esteban Calle: Thank you, Paco. Thank you for your questions. I mean Camilo can answer the question about maintenances, in Honduras specifically, and then Carlos, about our maintenances in Colombia. Out of the $180 million, they will be 100% going to pay back part of the syndicated loan, which is in U.S. dollars, 100%. Okay. Camilo, why don't you share with Paco the maintenance status of our kiln in Honduras?
Camilo Restrepo: Sure, Juan. Thanks, Paco, and thank you for your question. We did have a scheduled major kiln stoppage for the month of March and part of April. We've postponed it due to demand. So we're going to do it ending May, starting June when we'll get a little bit more rain and we expect demand to reduce a little bit or to just maybe soften a little bit. But this is already budgeted in. We're over-budget in respect to results in Honduras. We haven't had any difficulties with the kiln, and then we'll just do the maintenance and keep on going.
Juan Esteban Calle: Paco, following the answer, Camilo said that the usual proceeds will be utilized to repay the syndicated loan, that the current outstanding is very close to $400 million. But hopefully, we'll need to do some liability management - based on liability management in terms of the - to reprofile the split between U.S.-denominated debt and the Colombian denominated debt. The current balance like you - so in our presentation is 40% in U.S. dollars and 60%, very close to 60% in Colombian pesos. And we need to rebalance that after the closing of the transaction, Paco.
Francisco Suarez: Got you. If I may do a follow-up question, you already documented part of those loans, sustainability-linked loan. Any further potential to increase the mix of sustainability linked loans or ...
Juan Esteban Calle: Yes. Very good question, Paco. And that's the idea. The idea is to increase - to squeeze the participation of liability or linked - with linked loans in our portfolio of debt. That's a very important goal for us in the rest of the year.
Carolina Londono: Next question comes from Alberto Valerio from UBS.
Alberto Valerio: Congrats for the results. My first question is about the margin expansion in the U.S. I think so far, not just U.S., but also Caribbean has been the best results since 2016. I would like to know if you could provide some additional color on this margin expansion. If I may ask the second question, it's a little bit linked to the first one. It's - how is the capacity of Argos in each of these 3 main markets?
Juan Esteban Calle: The reality is that we are extremely happy with the expansion of margins in all of our markets. And we expect that expansion to remain at that level or continue improving for the rest of 2021. I mean the only market where we don't have enough visibility is Colombia because we don't know how long will the strikes and the march will take. But other than that, I mean we are seeing expansion of margins in all of our regions. Our goal is at least to get to a margin of 2 digits, I mean 20% consolidated margin. So in our opinion, these results of the first quarter are a step in the right direction. Regarding capacity utilization, I would like Bill, Carlos and Camilo to give you color on each of our regions about - at what level of capacity are we operating.
Bill Wagner: So Juan, Alberto, thank you for the question. This is Bill. So in the U.S., we're running around 90% to 94% capacity utilization at our plants. Martinsburg is a little lower than that, but there are some plants were as high as 96%. So general without Martinsburg, we're in the mid-90s at the moment. And Martinsburg is just under 80%. And we expect in all of our facilities has been completed in the first quarter of the year, so.
Carlos Yusty: In the case of the Colombian plants, Valerio, we are running at about 85%. And it is very important to highlight that we are counting within this plus the increase in the export that we are making from the plant - from the Cartagena's plant. For that other reason, we have increased the utilization of our plants in Colombia and as well for the increase in the Colombian market.
Camilo Restrepo: Alberto, regarding the Caribbean and Central America region, I just want to compliment Juan's comment. During the last few - 3, 4 years, we just haven't been tightening our belts, but we've also worked stringently in equipment efficiency, production, and then, of course, clinker reactivity in many of the markets. And this is also part of what we've achieved in gaining profitability and margin. And with respect to capacity utilization in the Caribbean, it varies from market to market. We have markets that are reaching or companies reaching full utilization in places like Honduras. But again, we have a mill in the north that we're also pushing and then we have capacity in the South that we will bring in line if necessary and also imports if necessary. And then we have some countries like Panama which is, of course, at lower utilization due to local demand, which we're also thinking about utilizing for exports wherever possible and wherever profitable. And then countries like Dominican Republic which we're high in utilization, about - above 95%, 97%. There's still a little room for more production or more exports in some of the countries, but some are also reaching full utilization.
Carolina Londono: Next question comes from Roberto Paniagua from Corficolombiana.
Roberto Paniagua: Can you hear me well?
Carolina Londono: Yes, Roberto. We hear you.
Roberto Paniagua: I have two question related with the United States. Regarding the American Job Plan, even though it is in an early stage, could you please tell me how much cement volumes are you expecting and during how much time? In the line, do you have any project to - or do you project to have enough capacity in your plants in the United State for these plants or which strategy are you thinking to take forward-looking?
Juan Esteban Calle: Thank you, Roberto, for the questions. I mean the estimates that we have seen range from to 40 million to 40-plus million tons of additional cement demand in the U.S. because of the plant in 8 years. So that would be like probably 4 to 5 million extra additional millions tons of consumption in the U.S., which is 4% to 5% of the market. As Bill was explaining, we are very close to 100% of our capacity in the U.S., but we still have 5 million tons of import capacity in our terminals. So to supply that demand going forward, we will use our existing assets. We will take advantage of the maritime terminals that we have in the U.S. But in general, the industry is very close to total capacity.
Carolina Londono: Next question comes from Daniel Varela from Porvenir.
Daniel Varela: Just one question, why EBITDA's margin in Colombia was not improved at the same rates compared with the other regionals? What are the difference or the key factors that explain this fact despite the increase in the volumes here?
Juan Esteban Calle: Thank you, Daniel. And I think that Carlos can give you an answer on that. Prices in Colombia were lower than in Central America and the Caribbean and the U.S. And although we have made significant progress in our cost structure, I mean prices are still lower than in other country in the region, other than Brazil, but Carlos will add a little bit of color to my answer.
Carlos Yusty: Yes. And I think they're very important, Daniel. But when we exclude the extraordinary incomes that Colombian region had in the 2020 and the 2019, really, the Colombian region is growing its margin really in a very good number. Yes, the extraordinary income in 2019 was about COP 25 billion or very close to COP 30 billion. For the reason, very important to compare, in a comparable basis, the Colombian region, and as Juan mentioned, the price in Colombia is still a low in comparison with the other 2 regions, but the idea, and like we have mentioned in this conference, is that we can catch up, not the total gap, but some part of the gap in the next coming years.
Carolina Londono: Juan, we have no more questions on the line.
Juan Esteban Calle: Okay. Carolina. Everyone, thanks a lot for your interest in Cementos Argos. Thank for joining our call today. Looking forward to our next conference call. Have a great day, and thank you for joining.